Operator: Good morning everyone and welcome to the Travelzoo Third Quarter 2012 Financial Results Conference Call. At this time all participants have been placed in a listen-only mode and the floor will be opened for questions following the presentation. Today’s call is being recorded. It is now my pleasure to turn the floor over to your host, Chris Loughlin, Travelzoo’s Chief Executive Officer. Sir, you may begin.
Christopher Loughlin: Thank you, operator. Good morning and thank you for joining us today for Travelzoo’s third quarter 2012 financial results conference call. I’m Chris Loughlin, Chief Executive Officer. With me today is Glen Ceremony, the company's Chief Financial Officer. Glen will walk you through today’s format.
Glen Ceremony: Thank you, Chris, and good morning everyone. Before we begin our presentation, we would like to remind you that all statements made during this conference call and presented in our slides that are not statements of historical facts constitute forward-looking statements, and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in our Forms 10-K and 10-Q and other periodic filings with the SEC. Please note that this call is being webcast from our investor relations website at www.travelzoo.com/earnings. Please refer to our website for important information, including our earnings press release issued earlier this morning along with the slides that accompany today's prepared remarks. And archive recording of this conference call will be available on the Travelzoo Investor Relations website at www.travelzoo.com/ir, beginning approximately 90 minutes after the conclusion of this call. For today's format, we will review our third quarter financial results and then Chris will provide an update on our strategy. Thereafter, we will conclude with a question-and-answer session. Now, please open our management presentation, which is available at www.travelzoo.com/earnings. Turning to slide three. This provides you the key financial highlights for the quarter. Our revenue came in at $35.4 million this quarter which is an 8% year-over-year decline. This was the primary driver of our reduced earnings per share of $0.22 along with investments and sales force expansion and subscriber marketing. In addition, we showed modest growth in new subscribers. Slide four provides you detail of the $3.3 million year-over-year decline in our revenue. This was driven by two primary factors. The most significant decline was from our search revenue, which declined $1.9 million year-over-year. The majority of this year-over-year search decline was in North America SuperSearch, primarily due to lower revenue from hotels. Compared to last year, it has been more difficult to acquire traffic because of the Google’s integration this year of hotel search products on to their main search results page. Adding to the overall search decline was lower Europe Fly.com revenue, which was the result of our focus to bring SuperSearch Europe to profitability and led to the less traffic driven to Fly.com. The second largest contributing factor to the overall year-over-year revenue decline was that local revenue declined by $1.2 million, which was driven by lower voucher sales per deal, a highly competitive environment and our self imposed restrictions led by our focus on quality and our focus on not expanding too far from our core offerings. We attribute the lower voucher sales per deal to a natural setting of consumer interest for voucher deals, seasonality and known challenges with our own conversion process. Travel declined year-over-year due to reduced revenue from airlines online booking engines and packagers. However, this was offset by continued growth in our hotel space driven primarily by or Getaway hotels offering. We continue to believe hotels are an opportunity for us to deliver value and earn additional revenue overtime. The next few slides will give you some further breakdown of our revenues. Slide five, gives you the breakdown of revenue by segment. Revenue in North America was $25.1 million, representing a year-over-year decline of 10%. North America is where the majority of the consolidated revenue decline resides, driven by search and local revenues. In Europe, revenue declined by only $400,000 or 4% year-over-year decline. In local currency Europe revenue decline was 2% year-over-year. The next few slides provide some more insights on revenue by type within our segments. As you recall, we break our revenues into three types. The first type, travel, is our core revenue as well as our more recent Getaway voucher format. The second category is search, which includes our complementary search tools including SuperSearch and Fly.com. And the third category is local, which includes our Local Deals, voucher format as well as entertainment deals that may not use the voucher format. Turning to slide six, as I mentioned earlier, North America revenue made up the majority of the consolidated year-over-year revenue decline as it holds the lion’s share of search and local revenues, both of which experienced declines. Again, a tough hotel traffic acquisition market reduced our ability to spend efficiently to drive search revenue, and the decline in vouchers sold per local deal drove the local revenue decline. The only other area I would highlight is that our travel revenue also declined year-over-year due to advertiser spend reductions by certain online booking engines, airlines and vacation packagers. These declines were offset with our continued growth in hotel’s revenue which was driven by a 45% year-over-year growth in our Getaway format. We were able to continue to grow Getaway’s year-over-year through publishing more deals offset by a drop in the number of vouchers sold for Getaway deal. Turning to slide seven. This shows the breakdown of revenue for our Europe segment. Here you can see the biggest driver as the 4% year-over-year decline is the $600,000 in decrease in search revenue. Unlike the North America search decline, not much of this decline was due to hotels, as hotels are not a large component of the Europe search revenue. The reduction in Europe search was driven more by our decision to pull back on spend to improve profitability, in particular on our SuperSearch product. The search decline was offset by an increase in travel which can be attributed to Getaways and some traction with our additional sales force we hired earlier this year. You can see further history of our quarterly revenue by type in the appendix to this presentation. Slide eight provide more detail on our operating income. The $5 million year-over-year operating margin decline was due primarily to the North America operating income decline since the majority of the overall revenue decline and the investments in headcount and subscriber marketing were all in North America. We were pleased to see continued profitability in Europe despite the challenging economic environment and the summer Olympics this quarter. We did see some benefits in that to net income, including an FX benefit as well as a state tax benefit related to prior periods. Turning to slide nine. You can our cost to revenue on the left hand side and our operating margin on the right hand side. The cost to revenue was impacted by the declining revenue and some increased subscriber refunds. The decline in operating margin was the result of the decline in revenue and continued investments in headcount and subscriber marketing. Although we are not pleased with this decline in operating margin, we feel confident that the investments we are making are the right investments to drive future growth. Slide ten captures our operating expenses. Our North America operating expenses increased by $2.3 million year-over-year due primarily to a $1.7 million increase in headcount related cost due to our investment in additional headcount as well the $600,000 incremental subscriber marketing investment this quarter. Europe operating expenses were relatively flat. We expect increased operating expenses next quarter from the continued ramp up of headcount related cost, increased legal and professional fees and increased cost due to the development of our hotel booking platform. Slide 11, shows that our headcount increased from 374 to 407 this quarter. We continued our hiring this quarter focused on ramping up the sales force. We are on track with our goal of hiring 50 additional sales staff that we have had at the end of Q1. And we are still confident this is still a worthy investment for future growth. As we add this additional headcount through the quarter, the full cost of these heads normally takes another quarter to full appear in the total quarterly costs, given that the heads are not all added at the beginning of the quarter. We are monitoring the productivity of the sales force and believe they are on track to fully ramp up to our expectations over the estimated six to 12 months we have seen in the past. Turning to slide 12, you can see that we are maintaining strong collections and growing our cash balance. We ended the quarter with $57.6 million in cash and cash equivalents. This is up from prior quarter as a result of our operating cash flow of $6.9 million, offset by our $3.6 million stock repurchase. On slide 13, our financial results this quarter are summarized. Our revenue decline year-over-year was driven primarily by search and local in North America. We maintained our investment in headcount and subscriber marketing, as we believe this will help our growth in the future. These investments led to a short term hit in our profitability. However, maintained the profit, positive cash flow and our solid cash position. We realized the investments come amidst some top line challenges yet we feel confident they are the right investments for our future growth. So that concludes the financial summary of our third quarter. Now, Chris will cover the highlights regarding Travelzoo’s growth strategy.
Christopher Loughlin: Thank you, Glenn. I would like to begin by saying that while we are disappointed with the results of this quarter and we do face some near term challenges, we are confident in or future growth opportunity. The chart on the left shows you how we grow our business. We have two inputs. On the one hand we are growing our audience which you see on the X-axis, and on the other hand we are increasing our revenue per subscriber, which you see on the Y-axis. We grow our audience by investing in marketing. Revenue per subscriber grows as we introduce more products and services to our subscribers. Over the past 14 years, we have been very successful in executing on our business model. On the right, I will highlight the near-term challenges we are facing and our longer-term opportunities. As Glen already pointed out, we have experienced challenges with our SuperSearch and Local Deals offerings and this negatively impacted our revenues. Our investments in sales force expansion and audience growth impacted our earnings and we continue to experience headwinds caused by airline consolidation and a challenging economy, particularly in Spain and France. Despite these challenges, we remain confident about our future opportunity and we are focused on our four strategic elements which we believe will drive future growth. Sales force expansion, audience investment, further product development, especially in hotels, and taking advantage of this shift to mobile for which we are well set up. So let's turn to the next slide and review these strategic elements. At the end of the Q1, we set a goal of hiring 50 additional sales staff worldwide to drive future revenue growth. On the left, you can see that we have made good progress on accelerating hiring in Q3, adding over 20 sales heads. We will continue to ramp up to our goal of 171 sales staff but we will moderate our pace as revenues come. On the right you can see how sales managers ramp over time. And this data was taken specifically from our Local Deals segment in North America. But the data points apply also to our hotel segment. We expect to take the full year for our new sellers to reach their full potential. Once they are at full potential, they should be generating in excess of $500,000 in revenues a year. This ramp up period obviously means that we incur significant expenses in the short term. But as sales managers hit their one year mark, we begin to our investments paying off. Let's move to slide 17. I would like to cover our next strategic element here, investing in audience growth. On the left you can see how over time audience growth has been a key driver of our revenue growth. For example, today we have more than $6 million subscribers in Europe and we are annualizing at approximately $40 million in revenues there. In 2005, we didn’t have in audience in Europe and subsequently we had zero revenues from that region. To grow our audience we invest in marketing. We began to accelerate our investment in Q3, spending $1.2 million on subscriber marketing more than the prior quarter and $600,000 more than the prior period. Our incremental spend was focused mainly on advertising online. We plan to invest aggressively in audience growth but we will balance our speed of investment with our desire to keep up with our financial objective. It’s worth pointing out that we have traditionally focused on acquiring email subscribers with very low CPAs. We are now focusing on email, mobile and social subscribers and lifetime value matrix are becoming increasingly important for us. Because we are now the seller, for example we sell a voucher for our Local Deal or Getaway rather than passing off the user to another website, we can see the value of a customer overtime. And so lifetime value becomes more important. We then start to focus on subsets that look like the subscriber who is buying more from us. This might mean that we experience higher CPAs, but overall we see a better ROI as we hone in on the right subscribers. We generally expect to see a return on our subscriber investment within 12 to 24 months. Moving on to the next slide. I would like to talk about our next element which is product development, specifically in the area of hotels. We have a very long track record of designing and developing successful hotel products that are appealing to both the hotel industry and to our subscribers. And this slide illustrates how our product have evolved overtime and what we can expect for the future. So starting at the top, we launched Hotel Direct in 2001. This was a breakthrough product that introduced hotels to the very concept of leveraging large internet audiences, namely our top 20 list, to stimulate significant incremental demand for the most urgent times. The product proved very very successful and today Hotel Direct is used by more than 2000 hotels around the world. With Hotel Direct hotels pay us a flat advertising fee and our deal experts work with the hotel revenue team to develop an outstanding offer that can be featured on our top 20 list to stimulate these significant bookings. With this product we do not participate in the upside of the hotel booking. So whether the hotel gets 100 room nights or 2000, we are still paid the same advertising fee. Looking to the future we believe Hotel Direct will remain popular among those hotels that want our endorsement and are excited about attracting significant direct bookings to their own bookings engines. And this might include chains for example. But many hotels would rather pay a commission than an advertising fee. And they use a hand-off to smaller hotel booking engines in the mobile environment can be quite challenging. Moving on to SuperSearch. We launched this product in 2004 as a simple and effective aggregation tool that leveraged our user ratings to recommend OTAs for given destinations. We fueled the business with traffic from our own publications, but we were also very successful in search engine marketing on Google in acquiring both paid and organic traffic. While SuperSearch continues to be very popular with OTAs because it delivers because it delivers extremely efficient bookings, the product is relatively time consuming for users compared to newer comparison models and is not so well suited for mobile. We are conducting a strategic review of the product and we look forward to introducing our hotel booking platform which I would discuss in a moment. Getaways launched in 2011 and was an overnight hit. Both with hotels and our subscribers. We continue to see excellent adoption among hotels, primarily smaller and non-chain hotels. Hotels really like the commission model and it’s also great for us because we can participate in the upside. We are ramping our hotel sales for us to capture demand that we see for Getaways, both here in North America and in Europe. Getaways currently does not offer the ability for online bookings. This is something we are now working on. But with or without date bookings this remain a very popular product for our medium to small size hotels and non-brands. With the hotel booking platform, we intend to offer our subscribers the ability to book hotel deals directly via our website through mobile products. The key difference between this and Getaways or Hotel Direct is that our subscribers will be able to book the rooms on any night. Our desire to introduce our own booking platform, follows successful commission trials in Q3, which I talked about on our last call. In those trials, we saw a strong adoption among hotels for commission solution. Good response from our subscribers. But we also learned that it would not be possible to scale the business by sending users to various booking engines. This approach raised challenges in collections and also provided for a difficult experience on mobile devices. The booking platform will further enable our ability to offer commissions which we can track and allow our users to start using Travelzoo every night for booking and provide a better overall experience on mobile. Moving on to the fourth element of our strategy. We are making great strides in product development and have staffed up in this area. We are currently in the process of rolling out enhanced photography that really brings the Travelzoo website to life. Travel and photography go hand-in-hand, so it’s no surprise that as a result of these changes, we are seeing higher engagement levels. Mobile is increasingly important to us. We saw mobile downloads increase 30% on Q2 and 28% of our overall traffic is now mobile in North America and the UK. We are pleased with our performance in mobile so far. Our business model is well suited for the environment for several reasons. First, because we are focused on consumer travel and local experiences, which are an obvious fit for mobile. And second, because 100% of our deal content is revenue generating. And this allows us to monetize well within the mobile environment. So we are relying on banners for example. Moving on to the next slide. I want to show you how we are integrating social media into Travelzoo. If you go our Local Deals in the United States you will see a Facebook plug-in, it’s called comments. When users comment on the deals on our pages, a conversation is immediately taken to their Facebook wall and their friends then start to come in on the deal. You can see here that Jim Wells, a subscriber, gives his friends a tip about this restaurant here in Las Vegas. Then a friend who may not even be a Travelzoo subscriber, says on his wall that the deal is awesome. Than later another friend endorses the deal by saying that she always goes to this restaurant in Vegas. We are excited with our product development plan. With improvements in our hotel product, passive visual communications, we are offering a stronger mobile offering and social media integration, we feel good about our position for future growth in this area. To wrap up on our strategy on slide 23. We believe that our profitable approach and strong focus on quality leadership combined with our four strategic elements, positions us very well for long-term success and future growth. We have an outstanding array of high quality deals across the three most exciting categories, local, entertainment, and travel. Quality leadership drives loyalty and we are positioned at the top of our industry in terms of quality. We believe this will serve us well for future growth. We look forward to further expanding our coverage in these categories, while attracting a much larger following and enhancing our products to help us capture further opportunities. Moving on to the final slide, I would like to conclude by summarizing our continued area of focus for 2012 and into 2013. First and foremost, we plan to maintain our quality leadership position by publishing the highest quality deals and timing our brand control. We plan to regain top line growth by investing primarily in sales force productivity and audience growth. We will continue to enhance and scale our new products primarily in the areas of hotels and mobile. We will enhance our user and subscriber engagements through product development, analytics and optimization. Expand our mobile offering and social media offering, and lastly invest in future growth while remaining profitable. This concludes our prepared remarks. Now I will turn back to the operator for the question-and-answer session.
Operator: (Operator Instructions) Our first question comes from Ed Woo of Ascendiant Capital. Your line is open.
Edward Woo - Ascendiant Capital Markets: On the press release a couple of weeks back you said that you are in process to acquire a hotel booking engine. I am curious about what the status of that is. And if you do not acquire a company, will you be building the technology.
Christopher Loughlin: Hi, Ed, great to hear from you and thanks for the question. We have been in active negotiations with several companies for the last, I would say, week. And we are continuing to asses our options there. So we are quite excited about this opportunity. If we can't get a company at the price that we would like, then of course we will consider another approach.
Edward Woo - Ascendiant Capital Markets: You know obviously you can't disclose any term yet, but just in terms of the scale of something like this initiative. Do you think that it’s going to be significantly capital intensive, likely capital intensive, medium capital intensive? Just so that we could gauge your future capital needs.
Christopher Loughlin: Well, I certainly think there will be some capital required to build, if we build, and if we acquire then of course we will take something, well I guess we will have to figure out how we finance that if we do buy. But it’s a little early to give you concrete answer on how we will structure it because we don’t really have the candidate necessarily confirmed. So once we get to that point I think we will be able to give you a better answer.
Edward Woo - Ascendiant Capital Markets: Okay. And the other question I had is, I saw that your incremental marketing went up. It’s over $1 million this quarter. I think last quarter you mentioned that you were going to spend $2 million to $4 million. Is this just a wrapping up period? Have you changed your expectations on this?
Christopher Loughlin: Well, we did begin the marketing in the middle of the quarter so that’s one thing. So we were a little bit late to start. We are in putting in the new metrics around lifetime value and so we are also learning, we are focused heavily on conversion and optimization, audience segmentation. What's pretty exciting is that we now have, we know the income levels as well as the locations of all of our subscribers in North America. And for a large portion those who have purchased, we have a full demographic set around those subscribers. So there are investments going on in these areas that are not so obvious but they also contribute to our success. We will continue to spend aggressively, which we outlined in the presentation. But we are going to moderate that with -- as we watch our revenues we state clearly that we want to remain profitable through this growth phase. And so that means we have to pull back sometimes, we will. But ultimately we want to get there.
Operator: Thank you. Our next question comes from Dan Kunros of Benchmark. Your line is open.
Daniel Kunros - The Benchmark Company: Chris, l want to step back for a second and get your thoughts on the overall deal space. I know that you have mentioned in the past about the irrationality of other players in the space and you mentioned again in the presentation here. And I am curious how the landscape has evolved here? Obviously Groupon had some struggles last quarter. And how you look at the long-term outlook in the space and if you guys in particular are seeing any pressure on your take rates.
Christopher Loughlin: Well, it’s a very competitive space and there is still many companies out there that are losing large amounts of money. And we saw, certainly in this quarter we saw some of those businesses, smaller businesses go, larger businesses rationalize. So that’s still ongoing. The benefit for us of course is we -- there are several benefits, but one is that we are seeing talent in the market now that are trained. And you saw that we were able to bring on 20 more sales people this quarter. Many of those people had worked in this industry before, which is somewhat new to our business. Five years ago that would not have been the case. We are also seeing that a rising tide lifts all boats and there is a lot of mobile innovation going on from the likes of the three of four large players. And we are also participating in these sort of mobile developments. So I would say overall those are the positives. It’s still fiercely competitive out on the street. But we tend to focus on higher quality restaurant and establishments where they are concerned about the audience that they are reaching. So we might bump into some of the more luxurious players out there who position themselves as luxurious. But that we just tend to have a much larger audience and can bring a greater response to those establishments. So, on the one hand positive, on the other hand challenging. And then about the future, we are very excited about our future. I mean we are a very well known travel brand. We are top 1000 website in the world according to Alexa. And we believe that we have a tremendous opportunity that when our 22.5 million subscribers, when they are travelling now, maybe they are in San Diego and they see something in the destination that they may take advantage of as well as our home. We also see that the -- we have learned a lot more about the commission model through offering the voucher program and as we introduce that platform, we will be able to get more engaged with our subscribers on a daily basis as they travel. So I think our position in the market will be much more skewed towards travel. We are staying out of lots of categories. So we have got the governor on our machine but we are not sending out lots of goods deals and so forth compared to the others. And I think that’s becoming quite clear to the audience as well. So we are pleased about that.
Daniel Kunros - The Benchmark Company: Great. Thanks for the color on that. You actually touched on sort of two, my next questions. The first of which on the headcount front. You mentioned that you are unwilling to over publish in daily deals and that’s sort of been a theme for you guys especially for maintaining profitability. So I guess my question is, does that imply that you think there is a large market penetration opportunity available to you and in which geographies specifically? Has that changed from the UK and U.S.?
Christopher Loughlin: Well there is certainly a large publishing opportunity remaining in the United States. I mean there is cities like Nashville and Memphis and so forth that we don’t publish in. But we to approach these opportunities in a profitable sense, so to have two or three people employed to focus on getting local establishment the highest quality level in Memphis, may not be the most profitable approach. But we might have five or six or ten people who would call on five or six of these smaller cities and therefore it would be profitable. So those are opportunities still for growth. And we think about the strategy we want to publish more. So we publish more in the existing markets that we are in. And that comes with time as you see in the sale force ramp. We also want to publish more in more markets. So there are markets that we don’t have a light still, and then we also want to improve our profitability for every deal that we send. And that can come through various things. For example in the call, we mentioned that we have some challenges with our conversion process in the local deals. It’s a known problem, we are working on it. Over the last couple of weeks we really saw some great improvements with a chance for going up to the right for our conversion rate. So these little things can have a tremendous impact on selling more, if you like. And then the deal structure that also is something that we are honing in on. Do you offer a fixed menu or do you offer a certain discount. And this can have a dramatic impact on how audiences respond.
Daniel Kunros - The Benchmark Company: Great. You know, one thing that you just mentioned there and that I wanted to get into just a little bit more was, in terms of conversion, I just wanted to ask if you are concerned that maybe Getaways are either taking up too much virtual real estate on our voucher pages. Or are you seeing any adverse impact from the removal of the number of vouchers sold when you are offering your daily deals?
Christopher Loughlin: No. I mean the Getaways is clearly a very successful product. Glen mentioned on the call we are up 45% on that product. It obviously doesn’t make much sense, Getaways are sitting within the Local Deals environment. That’s just a function of how we built this systems and that we sell vouchers. We will migrate that into the hotel category and I think you will start to see some significant improvements on the visual aspects of the Travelzoo website in time. And that’s largely driven by the our ability to give the user or our desire to give the user a much cleaner simpler view of our products. But Getaways has been very positive.
Daniel Kunros - The Benchmark Company: Yeah. That’s definitely something that I was getting at in terms of platform migration. So answered my next question. And then finally in terms of the hotel bookings engine or website. I am just curious, obviously you have sort of a foray on entry into the hotel arena already. But once you get into more of a book anytime type platform, you are going to bump up against the OTAs and I am just curious how you see competition against them and how break into that space more heavily. Thanks.
Christopher Loughlin: Well, let's just start with the industry as a whole. When you talk to the hotels, they are never sold out. Okay. So even with all of the OTAs out there, the hotel’s are not sold out. And in New York City many hotels just -- they are always available on the weekend, even the nicest hotels. So there is a demand on the hotel side for more business. The second thing is, from an audience perspective we have just with our -- if you like to call it our flash sales approach, we have about a100 million clicks a year coming in on hotel deals. Now many of these people leave, perhaps, I wouldn’t say disappointed but maybe they leave and say well, it’s a great deal but I couldn’t get it on the date that I want and therefore they go and book somewhere else. Maybe they do go and book on an OTA. Still a lot of leakage coming out as a result of that. So we believe that it’s a smart idea to say, okay, here is a great deal. It’s still available for the dates that you have to travel to get the deal, but maybe if you don’t want to travel on this date you can still go and get this other deal. And of course we have no intention in going head-to-head with the large OTAs. We don’t want to be an OTA. We simply want to provide or audience with a service they are craving for from us. And also provide the hotels with a solution that really helps them on the everyday. And the last point on it, we sort of -- we have to take more control of that handoff for the user. If you click from a hotel deal to a small hotel booking engine on a mobile environment, it’s just not very good. And in many cases the consumer ends up calling and they would rather do it on their mobile device. So there is a key driver in there which is the world is changing. We are seeing a heavy shift to mobile. We are in a great position to take advantage of that. And if we get that platform in now, we will be good for the future.
Operator: (Operator Instructions) As there are no more questions, at this time I would like to turn the call back now to Mr. Loughlin.
Christopher Loughlin: Thank you, operator. Thank you ladies and gentlemen. Have a good day.